Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's conference call to discuss LifeVantage's First Quarter of Fiscal 2025 Results. At this time, all participants are in a listen-only mode. Following the formal remarks, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up. Hosting today's conference will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. Now, I'd like to turn the call over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon and welcome to LifeVantage Corporation's conference call to discuss results for the first quarter of fiscal 2025. On the call today from LifeVantage with prepared remarks are Steve Fife, President and Chief Executive Officer; and Carl Aure, Chief Financial Officer. By now, everyone should have access to the earnings release which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-K and 10-Q. Please note that during today's call, we will be discussing non-GAAP financial measures, including results on an adjusted basis. Management believes these financial measures can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time-sensitive information that is accurate only as of the date of this live broadcast, October 29, 2024. LifeVantage assumes no obligation to update any forward-looking projections that may be made in today's release or call. Now, I will turn the call over to Steve Fife, the President and Chief Executive Officer of LifeVantage.
Steve Fife: Thanks, Reed and good afternoon, everyone. Thank you for joining us today. It's an incredible time at LifeVantage as we just launched the MindBody GLP-1 System, an amazing innovation targeting consumers searching for an effective, sustainable weight management solution. This product significantly expands our total addressable market and the initial response from our consultants and customers has been overwhelming. But before I go deeper into talking about MindBody, let me first give you a quick recap of our latest results which are generally in line with our expectations. In the first quarter, we again delivered solid profitability metrics despite lower revenues which continued to be impacted by macro headwinds, particularly in our international markets. Our adjusted EBITDA increased 11% versus last year and our adjusted EBITDA margin was 9.4%, a 160 basis point improvement compared to last year's first quarter. Total revenue was down 8%, as lower consultant and customer numbers were partially offset by an increase in revenue per consultant. While the overall consumer environment remains challenging, we are highly encouraged by the strong response from consultants and customers to our new product. September was a very strong month for us as consultants built excitement in advance of the product launch and October will be the highest bookings month in the company's history. And overall enrollments in October are approximately 4x our recent monthly averages. We believe this momentum will continue to build as fiscal 2025 unfolds. There's good reason to be excited about the MindBody GLP-1 System. GLP-1 is short for glucagon-like peptide-1, a hormone that works along the gut-brain axis to control digestion and balance blood sugar. GLP-1 also supports the health of several organs, including the heart, liver and kidneys. Like many things in our body, production of the GLP-1 hormone declines due to age, poor diet, stress and other lifestyle factors. This decline can cause cravings, false hunger and weight gain, among other health concerns. Just as our flagship product, Protandim Nrf2, activates antioxidant production in the body, our new MindBody GLP-1 System activates the production of GLP-1 using naturally sourced ingredients. You take the MindBody GLP-1 System to help your body make this essential impactful hormone. With this addition to our portfolio, we are, once again, demonstrating our ability to own health activation at the cellular level. When this innovative dual product solution helps your body restore GLP-1 production, the results are truly something you can see and feel. We completed a successful 12-week human clinical trial to evaluate the efficacy of MindBody. Results from this trial included an outstanding 140% average increase in GLP-1 levels in the body. Participants had an average weight loss of 9 pounds in 8 weeks and up to 25 pounds in 12 weeks. Adding to the results, 100% of participants who lost weight did not lose muscle but did lose up to 27% in visceral fat and 5% total body fat. Participants also reported exciting qualitative data as well. 95% had decreased sugar cravings, 96% chose smaller portions, 85% now eat for health instead of emotion, 85% agreed their food cravings decreased and 82% felt more in control of their relationship with food. The clinical trial built upon successful in vitro results which found the MindBody GLP-1 System significantly increased GLP-1 production in L cells by activating key genes. The in vitro study also revealed a 38% reduction in DPP4 gene expression, allowing more GLP-1 to remain active within the body and a 53% increase in GLP-1R expression which promotes the creation of GLP-1 cell receptors, further enhancing the body's ability to use GLP-1. Thanks to the results of this research, the MindBody GLP-1 System is patent pending, ensuring that innovation remains something only LifeVantage and our consultants can deliver. The MindBody GLP-1 System is a 2-part system, made up of MB Core and MB Enhance, that is uniquely paired to deliver results leading to total transformation. MB Core is a blend of Acacia, Lemon Bioflavonoids, Berberine, Hesperidin, Eggplant and Chromium that directly activate GLP-1 in specialized L cells, promoting fullness through the gut-brain axis. It reduces cravings, slows gastric emptying and balances key hunger hormones. It is 2 capsules taken daily, 30 minutes before consuming any calories. MB Enhance combines resistant starches and fibers, including potato and tapioca which ferment in the large intestine. These fibers act as prebiotics, supporting gut health, providing indirect activation through the priming of L cells. MB Enhance provides 48% of daily dietary fiber, with a light vanilla flavor that complements smoothies and other beverages consumed throughout the day. Our comprehensive approach provides effective, sustainable weight loss and overall wellness. Unlike traditional weight management methods, MindBody emphasizes long-term lifestyle changes and a healthier relationship with food. The system helps stop the toxic cycle of trendy fads and yo-yo dieting, with results coming from helping your body work as designed. The press release issued earlier today provides a recap of all these exciting results. The new MindBody GLP-1 System was unveiled at our recent Market Connect event held October 11 and 12 in Kansas City. The initial on-site inventory sold out within a couple of hours, so additional inventory was shipped to the event to meet the overwhelming demand. The demand was also reflected in our e-commerce sales exceeding forecast. Our initial inventory order of MindBody System is now sold out. We are officially on backorder, meaning orders continue to be placed by both consultants and customers with product shipping when we are back in stock in approximately 7 weeks. The level of demand for this product is many multiples of what we saw when our liquid collagen product was first introduced a couple of years ago, giving us a high degree of optimism about future growth potential. In addition to MindBody, Market Connect offered exclusive business training for consultants, emphasizing the new commission bonuses and the latest enhancements to the Evolve Compensation Plan which will take effect on November 1. We also announced several improvements to the consultant experience, including a new feature that allows the creation of a suggested shopping card for new consultants joining LifeVantage. The event generated significant excitement and was an outstanding success, further energizing our consultant community. Regarding the latest updates to the Evolve Compensation Plan, we are rolling out enhancements to offer greater simplicity and increased earning potential for our independent LifeVantage consultants. These enhancements will go live on November 1, 2024, across the U.S., Japan, Australia, New Zealand, Canada, Mexico and European markets. At the heart of this optimization is the new sharing bonus. This sharing bonus is a simple 10% commission on top of other elements of the compensation plan earned when your new consultant and their customers purchase products. We have also reimagined accelerators to help new consultants achieve early income success. During the first 4 months of their business, consultants are eligible to receive double the sharing bonus, up to 20%, instead of the standard 10%. Additionally, new consultants earn a bonus upon reaching the key milestone rank of Senior Consultant 1. Finally, we continue to focus on enhancing the appeal of our model for entrepreneurs, including making it easier for them to grow and operate their businesses. We have recently partnered with Clearwater [ph] to offer LifeVantage health care, a health insurance option for consultants. Clearwater offers a variety of major medical, health share and supplemental plans, including holistic and wellness options. The response to this offer has been tremendous, with many consultants expressing that this partnership removes a large barrier for those looking to go all in on their LifeVantage business. In summary, we are incredibly excited about the launch of our new MindBody GLP-1 System and believe it will be a game changer for our consultants and their businesses. It significantly expands LifeVantage's activation story into the rapidly growing category of weight loss. We also remain focused on continuing to drive strong financial performance and significant long-term value for our shareholders. Now let me turn the call over to Carl Aure, our Chief Financial Officer, to review our first quarter financial results.
Carl Aure: Thank you, Steve and good afternoon, everyone. Let me walk you through our first quarter financial results. Please note that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. First quarter revenue was $47.2 million, down 8.1% on a year-over-year basis and foreign currency negatively impacted revenue by approximately $200,000. Excluding the negative impact of foreign currency fluctuations, first quarter revenue was down approximately 7.7% compared to the prior year period. Revenue in the Americas region decreased 4.2% to $36.9 million in the quarter, due to a 6.1% decrease in total active accounts partially offset by higher average revenue per account, resulting from changes in product mix and increased shipping charges. Revenue in our Asia/Pacific & Europe region decreased 19.7% to $10.3 million in the quarter, primarily driven by a 20.5% decrease in total active accounts and the negative impact from foreign currency exchange rate fluctuations. Excluding the negative impact from foreign currency fluctuations which are primarily attributable to Japan, first quarter revenue in our Asia/Pacific & Europe region was down 18.7% as compared to the prior year period. Gross margin was 79.9% for the first quarter, just slightly below the 80.2% we reported in the prior year period. We are encouraged that we were able to maintain gross margin percentages despite the decrease in revenue. We continue to focus on identifying cost savings opportunities across our supply chain to improve our gross margins back above our 80% target. Commissions and incentive expense in the first quarter decreased $2.2 million year-over-year. As a percentage of revenue, commission and incentive expense was 43%, down 80 basis points versus year ago levels. The decrease was due to changes in sales mix, along with the timing and magnitude of our various promotional and incentive programs. Non-GAAP adjusted SG&A expense was $14.7 million compared with $16.6 million in the prior year period and was 130 basis points lower as a percentage of revenue to 31.1%. Adjusted non-GAAP operating income was $2.7 million compared with adjusted non-GAAP operating income of $2.1 million in the prior year period. Adjusted non-GAAP net income was $1.9 million or $0.15 per fully diluted share in the first quarter compared to adjusted non-GAAP net income of $1.7 million or $0.13 per fully diluted share in the prior year period. We recorded income tax expense of $0.8 million in the first quarter which translates to an effective rate of approximately 29% compared to $0.2 million in the prior year period at an effective rate of 24%. The increase in our effective tax rate in the current quarter was due to the impact of discrete items. Adjusted EBITDA for the first quarter was $4.4 million or 9.4% of revenues compared to $4 million and 7.8% in the same period a year ago. Please note that all of the adjustments from GAAP to non-GAAP that I discuss today are reconciled in our earnings press release issued this afternoon. Our financial position remains strong, with $14.6 million of cash and no debt at the end of the first quarter. Capital expenditures totaled $0.3 million in the first quarter compared to $1.1 million in the same period a year ago. We continue to focus on our capital allocation priorities to drive value for stockholders. During the first quarter, we used approximately $1.1 million in cash to repurchase approximately 140,000 shares of common stock under the stock repurchase authorization. And as of September 30, 2024, there is still $19.3 million remaining under the authorization. We also announced a quarterly cash dividend of $0.04 per share of common stock or approximately $500,000 in the aggregate. The dividend will be paid on December 16, 2024, to stockholders of record as of December 2, 2024. Since the beginning of fiscal 2024, we have returned approximately $15 million in total value to our stockholders through share repurchases and dividends. Turning to our outlook for fiscal 2025. We continue to anticipate our full year revenue will be in the range of $200 million to $210 million and closer to the upper end of the range based on the early success and demand associated with the MindBody GLP-1 product launch. We also expect adjusted non-GAAP EBITDA in the range of $18 million to $21 million, with adjusted non-GAAP earnings per share in the range of $0.70 to $0.80 per share. We remain committed to continuing to improve our adjusted EBITDA margins and believe we are well on track to reach our long-term target of low double digits in the near future. And with that, let me turn the call back over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Doug Lane with Water Tower Research.
Douglas Lane: Carl, you just went over your guidance which remains unchanged from the last quarter. And obviously, you had a very successful launch here with MindBody having sold out of inventory already. So what was the thought process in not adjusting your guidance despite the very strong reception to MindBody?
Carl Aure: Thanks Doug for the question. We definitely gave that some thought. And in the comment that I made on the script, I mean, we did allude to -- we do believe that we're going to be at the top end of that range in the guidance. And I think the other thing is that we're really only 2 weeks in to the launch of the MB product that we had. And we launched it on October 11 and we were out of inventory within 2 weeks. And I just think as we've looked through and just with -- there's still some uncertainty and we talked about getting the product back in stock and where we are from a stock-out situation but I think that was the preliminary thought. I still think that we're highly optimistic about the long-term success of MB. But just due to where things are at, we felt that, that was the appropriate range at this point.
Douglas Lane: That's fair enough. It is still early days. So I mean this is a good problem to have but you are dealing now with a stock out situation for a product that is obviously -- you've done a good job teasing and promoting and launching. So what do you think the impact will be of moving into a stock out situation so quickly among your consultants?
Steve Fife: I think we have kind of a proof here of the excitement around this product, not just because of selling it out so quickly that -- if I look back in terms of our September activity, in September before the product was even available, our enrollments virtually doubled over that of the previous several months. And then -- and again, that was in advance of the product. And what drove that really was we had a group of 55 people that were kind of our trial group. They had access to the product since about the 20th of August and they were taking before and after pictures and building their stories. And in September, those stories started getting out there and drove the excitement around the product and the launch. And fast forward to October 11, we have an amazing launch, you were there, you were able to see the excitement around it. And 2 weeks later, we've sold out. And now in my mind and I think the way our consultants are really looking at it, is now there's not just 55 but there's thousands of people that have access to the product. And they will be able to build their personal stories about the product over the next several weeks until the product comes in. And there's no indication from our consultant leadership group right now that anyone is slowing down in terms of talking to people and enrolling people. And the way we've communicated access to the product when we do get it, it's going to be those people that are signed up on a subscription now are going to be the first ones to get product once it comes into inventory. So there's still excitement around the product. We have, like I said, thousands more people talking about it than we did in September. So I still remain really optimistic that it's going to continue to build the excitement. Now, do I wish we had inventory? Absolutely. But I'm really pleased with how our field has embraced this and they see the demand that -- for the product and I think it's encouraged them as well in terms of what this really can be.
Douglas Lane: No, there was a lot of excitement in the event, that's for sure. And did you mention what the price of the product is? I assume that it's going to be geared for monthly subscription.
Steve Fife: It is. We sell the -- it's a 2-part system. We sell them only in tandem. And that's critical because the efficacy of the products and really all of our studies, our human clinical, our patent that we've filed for are based on the combination of those 2 products. And for the 2 products, at a customer retail price, it's $199. At a customer subscription, the price is $179. And for our consultants, it's $159 and that's for a 30-day supply.
Douglas Lane: Right, a month supply. Got it. And then the launch was in the U.S. at the Kansas City event. What are the plans for launching this product in the markets outside the U.S.? And can you clarify is this in Canada yet?
Steve Fife: It is -- in Canada on Nrf2 are not for resale basis, so they can purchase it for personal consumption in Canada. We also have a program where any person throughout the world can actually purchase product. And we're seeing some of the product being -- and again, just for personal consumption, we do see people throughout the world buying it, especially in Australia and New Zealand right now. Not large quantities but they're trying to get a jump start on it. And our launch, it's going to be really kind of dependent on regulatory approval but we're targeting in the March, April time frame of next year of 2025 to have most of our countries -- launching in most of our countries. We know that there's a couple of countries where the regulatory time will be longer than that but most of our international markets will launch in the March, April time frame.
Operator: There are no further questions at this time. I'd like to pass the call back over to Steve for closing remarks.
Steve Fife: Thank you, operator and thank you for joining us today. As we conclude, I want to extend my appreciation to our committed employees, outstanding independent consultants, stockholders and faithful customers. We are incredibly excited about the overall response for our new MindBody GLP-1 System that significantly expands our total addressable market. This is an amazing innovation targeting customers, searching for an effective sustainable weight management solution. We believe it has the potential to drive significant growth and value creation in the future as we leverage the strength of our distinctive platform, along with the competitive edge of our business model that empowers individuals to establish businesses on their own terms. Thanks, again, for joining us and we look forward to updating you with our Q2 results at the end of January. Thanks, everyone.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.